Operator: Welcome to the Second Quarter Financial Results and Business Update Conference Call for Yield10 Bioscience. During this call, participants will be in a listen-only mode. The presenters will address questions from analyst as well as questions submitted by shareholders as part of our call today. [Operator Instructions] As a reminder, this conference call is being recorded. I would now like to turn the conference over to your host, Yield10 Vice President of Planning and Corporate Communications, Lynne Brum.
Lynne Brum: Thank you, Omar, and good afternoon, everyone. Welcome to Yield10 Bioscience second quarter 2017 conference call. Joining me on the call today are President and CEO, Dr. Oli Peoples; Vice President of Research and Chief Science Officer, Dr. Kristi Snell; and Chief Accounting Officer, Chuck Haaser. Earlier this afternoon, we issued our second quarter 2017 news release. This release as well as slides to accompany the presentation are available on the Investor Relations section of our website at yield10bio.com. Let’s now turn to Slide 2. Please note, as part of our discussion today, management will be making forward-looking statements. These statements are not guarantees of future performance and therefore you should not place undue reliance on them. Investors are also cautioned that statements that are not strictly historical constitute forward-looking statements. Such forward-looking statements are subject to a number of risks and uncertainties that could cause the actual results to differ materially from those anticipated. These risks include risks and uncertainties detailed in Yield10’s filings with the SEC, including the Company’s most recent 10-K. The company undertakes no obligation to update any forward-looking statements in order to reflect events or circumstances that may arise after the date of this conference call. And now with that, I’ll now turn the call over to Oli.
Oli Peoples: Thanks, Lynne, and hello everyone and thanks for joining our call today. Please turn to Slide 3. First, I’d like to recap our mission for any new listeners. Yield10 is developing gene trait technologies for food and feed crops to produce higher yields with lower inputs of land, water or fertilizer. Now I will cover a few financial highlights starting with the balance sheet. We ended second quarter 2017 with $3 million in cash. We raised an additional $2 million in net proceeds in an offering of common stock and warrants which closed on July 7. This was Yield10’s first cash raise following the changes to our new corporate strategy and we were very pleased with the high level of interest in the offering from new investors and by the participation of our major shareholder Jack Schuler. We’re restricted to the amount we raised in this offering by the NASDAQ 20% rule. We expect the cash on hand, together with revenue expected under current government grants, will support our operations into first quarter of 2018. In the first half of year, we used approximately $4.3 million in cash. We estimated net cash usage for the full year 2017 will be approximately $8 million to $8.5 million, including anticipated payments for restructuring costs due this year. We will continue to identify ways to access capital through the financial markets, generate revenue through grants and collaborations and manage our expenses. On our P&L, let’s review the financial results that are reported as continuing operation. This captures our crop science related activities as well as administrative and infrastructure support for the Yield10 business. We reported a net loss from continuing operations of $2.7 million for the second quarter of 2017, $0.96 per share. We reported $300,000 in grant revenue, $1.1 million in R&D expenses and $1.9 million in G&A spend in the second quarter. The G&A spend includes a one-time non-cash charge of approximately $600,000 related to retiring or outstanding equity line, which we cannot use prior to this expiration due to the terms of our recent financing. The presumed results reflect the 1-for-10 reverse stock split that was effective in May. For more details on our financial results please refer to the earnings release. Now let’s turn to Slide 4, recent accomplishment. We made solid progress in second quarter. Importantly, we planted our fields for the evaluation of our lead gene trait gene C3003 in Camelina and canola sites in Canada. In this study we are looking at first and second generation C3003 in Camelina and for the first time conducting a field test with first-generation C3003 in canola. We are placing increased emphasis on our novel genome editing targets to improve crop performance and we submitted our first Am I regulated? letter to USDA-APHIS for a genome-edited Camelina line. Our team used CRISPR – the CRISPR editing tool to activate an enzyme and expect it to increase seed oil content and now developed three copies in the Camelina genome. Our goal here is to establish a robust internal capability or deploy this technology against our target genes and [indiscernible] non-regulated status from USDA-APHIS for our genome edited traits. USDA-APHIS has acknowledged receipt of our letter and estimates that it can about six months for our submission to go through the process. In June, Kristi made a presentation at the Plant Biology Conference related to our work in global transcription factors. The research she presented there and at the Gordon Conference in July highlighted the significant increases in biomass yield that can be achieved based on increasing the efficiency of photosynthesis. She will talk more about this on today’s call. Earlier this week, we announced we have formed a collaboration with National Research Council of Canada to develop technologies to improve seed yield and drought tolerance in wheat. NRC’s significant expertise in wheat breeding, and we look forward to working with them on this research. It’s important to note that NRC will contribute financial and technical resources to the program and we will retain all right to IP under the collaboration. With all the progress we’ve made on the R&D front in the first half of the year, we’ve also been buys filing four new patent applications around additional discoveries particularly around the C3003 yield trait. We regained compliance with the NASDAQ minimum bid price rule with our stock split and raised $2 million net in an offering of common stock and warrants. Now we turn to Slide 5, trait genes in development. Our crop science program has delivered a number of very exciting proprietary yield trait genes for crops, a method by which they are deployed in target crops has major implications for the regulatory status and timelines to commercial use. Some trades require introducing non-plant genes and will be regulated, others produced through genome-editing, may be unregulated by USDA-APHIS. Keep in mind, the corn ag biotech sector of over 400 million acres is based on using non-plant genes to enable new functionality, herbicide tolerance, insect resistance and drought tolerance in crops. C3003 is analogous to these in that it brings new functionality to crops focused carbon capture and yield. We are currently developing C3003, C3004 and C3007. The value driver for C3003 is improving seed yield and potentially water use. C0003 is based on the gene from algae. In this case, with the potential for seed yield increases in the range of 20%, the potential of our value creation supports the investment of time and costs likely to be associated with updating regulatory approval for C3003. In addition, our T3 Platform has produced a pipeline of trait genes, the C4000 series, including a number that can be deployed through genome-editing. We believe a number of these represent opportunities for licensing under our partnerships to deploy these traits to improve yield or drought tolerance in crops including corn and forage crop. In second quarter, we began our collaboration for wheat with the National Research Council of Canada. The second half of the year, our objective is to being to work in corn where again we will use third-party capabilities and resources to advance development. Let’s now turn to Slide 6, value creation. We are targeting the key unmet need in the seed sector, step-change improvements in the yield of major food and feed crop. Based on the simple analysis presented here for three major North American crops, we are targeting $15 billion per year in added value. As our business model is partner or license, the share of this value Yield10 can capture is dependent on how far we can progress our technologies in each of these crops and demonstrate their value to partner prospect. We are essentially in the business of de-risking the C3003 yield trait asset through a series of proof points in each of these crops. This example with just the C3003 trait illustrate that we have the potential to build significant value for our business, testing our traits in model systems and then translating the most promising trait into major crops. Let’s now turn to Slide 7, our business strategy. We recognized early on that if we’re going to be successful in the major crops like canola, soybean and corn then we needed to position ourselves as a trait provider to the ag majors. We also have to focus on something they did not already have in hand, where we brought something to the table based on our unique experience and yield trait discovery platforms. The ag value chain is well established and everyone has to be rewarded, so there is a basic value sharing structuring in place, where about half the value goes to the farmer and the other half is shared between the seed company and trait provider. The share available to the trait provider depends on how far the trait has been progressed through key proof points and in particular multi-site filed trails in key crops. The more progress made, the less risk and higher the share of the volume the trait provider can capture. So in addition to leveraging our Camelina Fast Field Testing system that can [indiscernible] technical and performance data from field test, in parallel we are moving the most interesting traits into major crops. The timeline for each crop varies, but the objective is to de-risk our traits using multi-site field trials as a key proof point. To support these activities, we continue to look for sources of non-diluted funding even as we work to secure ag industry partnerships and licensing deal. Key to this strategy is building strong intellectual property around our key innovations. With that, I will turn the call over to Kristi Snell to update you on our technology.
Kristi Snell: Thanks, Oil, and hello everyone. Let’s now turn to Slide 8. Our yield trait gene C3003 enables plants to be more efficient in capturing carbon through photosynthesis resulting in higher seed yield. In early June, we announced that planting was complete at our study site for the 2017 field test of C3003 in Camelina and canola. The main objectives of this study are to test second-generation C3003 in Camelina and to test first-generation C3003 in canola, our first major commercial oil seed crop. The drone photos on the right side of the slide were taken in the last. The top photo shows Camelina plants during seed formation and the bottom photo shows canola plants that are past the flowering stage and are just starting to form seeds. We plan to begin harvesting Camelina seed in the coming weeks and canola shortly thereafter depending on the weather. This will allow us to begin report our study results in the fourth quarter. To recap our Camelina C3003 results discussed in previous calls, in the field test we conducted in 2016, our first-generation C3003 produced 23% increase in seed yield by weight in our best performing Camelina line and the line produced smaller seeds. In 2016, we also conducted green house studies of the second-generation version of C3003 in Camelina. In this case, C3003 is expressed only in seed tissues and in these green house studies, we saw up to a 24% increase in seed yield and the seeds were typical weight. We have continued working with our academic partner to further understand the mechanism of action of C3003 and have developed a robust carbon-flux model for this trait now. As a result, we have enabled to file two new patent applications around this work. Work is also ongoing to develop soybean with both first and second-generation versions of C3003. We expect to report some initial green house results in Q4 2017 or early 2018. Rice is also a target crop for C3003 and we expect initial results from this work in 2018. Over the next few months we will generate data with this trait in three different food crops. Let’s now turn to Slide 9. Each of the crops we are working on has a different development timeline with Camelina furthest ahead followed by canola and soybean. We have also begun working on a third-generation C3003 based on new information from the basic science activity and modeling. With such a unique trait, we are in a rich part of the learning curve and see the potential to further improve or upgrade, in this case, the C3003 genetic software. In canola, we will have field test data in for first generation C3003 in Q4 this year and we are busy progressing the development of the second generation version in canola as well. In soybean, a $40 billion crop in the U.S., we have progressed in parallel both first and second generation versions of C3003. Yield improvements in soybean would be very valuable. We estimate having initial greenhouse data on soybean from our partner in Q4 2017 or Q1 2018. So in a few months, we will have data from C3003 and three oil seed crops Camelina, canola and soybean, which will help us plan and prioritize our development program C3003 into 2018 and beyond. The potential C3003 in rice could be significant and this is moving forward in-house as well. Let’s now turn to Slide 10. Our discovery paradigm is based on the unique background and expertise we have in advance metabolic pathway engineering and this enables us to look at carbon dioxide metabolism in plants from an engineering standpoint. Key to increase yields is to increase the amount of fixed carbon available in the plant to produce seed. The Yield10 technology platform has two components. The first is the Smart Carbon Grid for Crops. This platform leverages our large historical investment and advanced metabolic engineering and often uses microbial diversity to eliminate bottlenecks in plant carbon metabolism. C3003 is a product of our work in this area. The second component is our T3 platform. This is a novel bioinformatics gene discovery tool that we use to identify global regulatory genes and related networks of genes that can be used to improve seed and biomass yield. Today, I will expand a bit on our work on the T3 platform and review data we presented at the annual Plant Biology meeting of the American Society of Plant Biologists in June of this year, as well as in the subsequent Gordon Conference in Plant Metabolic Engineering in July. Let’s turn to Slide 11. Using the T3 platform, we have identified three global transcription factors or master switches that increase photosynthesis and biomass yield in the C4 monocot switch grass compared to control plant. We have not yet specified the exact genes we were using in any of our public presentations as we have been solidifying our intellectual property and only refer to their internal trait codes C4001, C4002 and C4003. In the recent Plant Biology 2017 meeting as well as in the subsequent Gordon Conference in Plant Metabolic Engineering, we described the data obtained from switch grass expressing C4001. I will briefly discuss the highlights of what was presented in these meeting in the next couple of sides. The full version of the slides presented at the Plant Biology 2017 meeting is on website that can be accessed through the URL linked on the slide. For this work, C4001 was transformed into switch grass and transgenic lines are generated. The lines were grown in a greenhouse. Let’s now turn to Slide 12. Specific photosynthetic parameters were measured in the C4001 expressing plants grown in the greenhouse and compared to control plant. The primary difference was a 75% increase in the electron transport rate around the photo systems of the C4001 expressing plants per unit leaf area. The electron transport rate is a key parameter in photosynthesis and the observed increase in the rate of electron transport represents a significant increase in photosynthetic efficiency in the plants. Let’s now turn to Slide 13. A visual difference in plant size was noticed between the mature transgenic C4001 lines, the three plants on the right in the photos, and the mature control plant, the plant on the left in the photo. We harvested the leaves and stems from plants and measured the dry weight of the total above-ground biomass and also dug up the roots, removed the soil and measured the try weight of the root material. Switch grass plants expressing C4001 had a 75% to 100% increase in leaf and stem dry weight compared to control as well as an 85% to 145% increase in root biomass compared to control plant. This demonstrates that the C4001-engineered plants are more efficient in capturing carbon and this added carbon is stored in biomass above and below ground. We have determined that C4001 modulates the expression or activity of multiple downstream transcription factors and the metabolic pathways that result in the translation of increased fixed carbon yield. We expect to submit this data for publication in peer-reviewed academic journal. As mentioned in previous calls, some of the downstream transcription factors and metabolic pathway genes are down regulated making them good targets for modification by genome-editing using techniques such as CRISPR. Let’s now turn to Slide 14. We have found that C4001 is present in most crops and we have identified the C4001 genes in major crops including corn, wheat and rice and we have plans to study them in these important food crops. Rice transformations have been performed in-house, and the initial transformed plants are growing in the greenhouse, which are shown in the right in the picture. We are currently analyzing both the rice version of the C4001 gene as well as a switch grass version in rice. So far what we were seeing in these first generation transform C4001 rice plants is similar to what we observed in switch grass. The plants are producing more tillers or stems and more biomass. Based on these early observations, photosynthesis measurements are underway. Typically, one needs to advance plants another two generations to obtain stable homogeneous lines. This is being pursued that we can – so that we can fully quantify the impact of expressing C4001 on rice seed yield. We plan to begin studying our global transcription factors in corn in the second half of 2017. For an update on what we are doing in wheat, please turn to Slide 15. Like rice, wheat have the C3 photosynthesis system and is a major staple food crop. Globally, it’s the most widely planted crop and advancement in wheat yield has to date been achieved through classical plant breeding methods. In the second quarter, we signed a two-year collaboration with The National Research Council of Canada or NRC to identify new traits to improve yield and drought tolerance in North American wheat. This collaboration will be managed by Yield10’s wholly owned Canadian subsidiary, MetabolixOilseeds. Access to our C4000 series of traits will be provided to NRC through MetabolixOilseeds. The objective of the work is to enable the development of higher yielding and/or drought tolerant wheat. We are looking forward to developing a productive working relationship with the NRC. The Yield10 team is working on some very exciting targets for improving seed and biomass yield, and I look forward to discussing further developments associated with our portfolio of traits in development in the second half of 2017. With that, I’d like to turn the call back to Oli. Oli?
Oli Peoples: Thanks, Kristi. Now let’s turn to Slide 16, upcoming milestones. There are a number of key takeaways from Kristi’s presentation this afternoon. Yield10 has a strong pipeline of exciting crop trait technologies. Yield10 is making strong progress deploying our novel yield trait into key food crops which we believe will help us build significant value in the business. We met a major milestone with the planting of Camelina and canola for our 2017 field tests for C3003. We’ve made a lot of progress on the genome editing front in 2017 and expect to continue to do so for the balance of the year as we increase our level of assets in this area. We announced the collaboration with NRC to work on novel traits for wheat. We believe the data we are generating across our traits and platforms will position us well to securing ag industry collaboration, something we continue to work on. The data we are generating this year should be viable in securing interest in oilseeds and other crops. We will continue the work we have been doing with the academic partners on the underlying signs and expect much of the work will be published in academic journals presented at scientific conferences. So far this year, we have filed four new patent applications as we continue to build multiple moats or barriers around our key trait yield technologies. Overall, you can see, we are expecting to be very productive through the end of 2017 and beyond. We have covered quite a bit of grounds and let’s turn to Slide 17 to wrap up our prepared remarks. Yield10 is developing generic trait technologies for food and feed crops to produce higher yields with lower inputs of land, water and fertilizer. We’ve made good progress so far in 2017 and the Yield10 organization is aligned and sized to achieve our upcoming milestones. Our work with C3003 yield trait gene produced encouraging results and is positioned us to collect additional data from field test in Camelina and canola in 2017. And in the same time, we are working successfully to deploy the traits in soybean, corn and rice. Both of our discovery platforms have led to the identification of promising genome editing target and we will be working to further develop these targets to improve seed yield, oil content and/or biomass according to the trait or crop. Taking this all together, we have a clear vision for our business, which is to solve the crop yield problem and we will continue making steady progress towards that goal to create value for our shareholders. So with that, I’d like to turn the call over to Lynne for questions. Lynne?
A - Lynne Brum: Thanks, Oli. And Omar, let's open the call to analyst of Jay Albany of SeeThruEquity.
Operator: Jay Albany, your line is now live.
Jay Albany: Hey guys. Thanks for taking my question. I was wondering could you talk a little bit about your competitive position and how you’re differentiated technologically versus Calyxt? And also maybe – could your T3 Platform be potentially used or licensed to explore some of the healthy attributes that are currently being targeted by Calyxt?
Oli Peoples: Sure. So, appreciate the question, Jay, we were very pleased to see that Calyxt’s successful IPO. There is, I think, $65 million after the greenshoe. They are using genome-editing technology. They were founded as a subsidiary of a French pharma company that has a TALEN genome-editing technology, which is an older type of technology. They probably also have access to CRISPR by now as well. Their focus really appears to be in modifying nutritional aspects of crop such as the folic acid content in soybean, for nutrition purposes. They've also got programs around potato and high fiber wheat. They seem to be trying to get closer to the consumer, really focused on more specialty applications. As we’ve described today, Yield10 is focused really on developing proprietary traits for step-change improvements in yield for the commodity crops. So we are not really active in this sort of specialty area. Some of the traits we are working on are GMO. Others can be accessed through genome-editing, so our focus is quite different. But I think the big differentiation is that we’re really bringing really new targets to the space for the first time. Our targets actually have the potential to shift the yield equation. So in terms of your follow-up question, can the T-3 platform be used also for that purpose or to support it, quite frankly the way the sector works is traits that are developed are typically cross-license and [indiscernible], we are mostly working on the area of yield. Quite frankly we would be very open to licensing our technology out for some of these more specialty applications in the nutrients sector and certainly something we’re open to exploring.
Jay Albany: Okay, great. Thanks. Also I was wondering there’s been a lot of consolidation in the sector recently, can you share your thoughts on this activity and where your technology fits in relative to what’s been tried by the updated field of competitors?
Oli Peoples: Yeah, so, it’s an interesting time in the ag space. I mean, beginning a couple of years ago with the Dow-DuPont merger then the – or maybe Syngenta-ChinaChem was before that and then you’ve got essentially the Bayer acquiring Monsanto. That’s ongoing. So Dow-DuPont is almost complete, but the industry is really going sort of through a down cycle in the last two to three years based on the commodity situation and obviously they’ve been cutting costs including R&D budgets and what have you. This is very typical when the technology that have been around since more or less the 90s, which when these companies really gained their position through acquiring specialty ag biotech players to access novel GMO technologies, but the technologies they are using today are primarily herbicide and pesticide resistant that was developed in the 90s. And so, obliviously, as it got to this stage, now they are looking for other ways to differentiate themselves. And to do that, they’re essentially further consolidation. So instead of the top five, we’re going to have the top three probably then plus BASF and the AgReliant Genetics probably next in line. We are talking to all of them because quite clearly as they come out of this consolidation phase, we do expect them to be looking for new technologies and new capabilities to fill the gaps in their development pipeline. Certainly, we bring something pretty innovative, we believe, to the space from a different perspective and a very unique experience and background, not directly related to the, let's say, more genomics-focused crop science activities that have been driven by these companies plus our data seems to indicate we are making pretty good progress in what we are doing. So certainly partnering with these guys is something we would have to do particularly for the crops we're targeting, canola, soybean and corn.
Jay Albany: Okay, great. Thanks for answering my questions.
Lynne Brum: Great. Thanks, Jay, and thanks for joining the call. Now we have a shareholder question for Kristi. And Kristi can you tell us about the feedback you received on the C4001 work at the recent plant conferences you attended?
Kristi Snell: Yes. We attend conferences like these to build awareness for our research and to make contacts with leading academic and ag industry researchers. We have been working on the C4000 series of traits in stealth mode for several years and this was our first public presentation of any of the C4000 traits in details. We still haven’t publically identified what the genes are which is a little frustrating for technical audiences, you have to appreciate that the results we are seeing with C4001 are dramatically different than what’s been previously reported. The responses range from excitement and great interest in the results to some skepticism about the magnitude of the yield increases that we reported. We expect skepticism will diminish when we publish the complete scientific details of these results and having said that, there is always value to be gleaned from the feedback, good or bad, from our peers. These conferences also provide us with an important opportunity to meet with our collaborators. Danny Schnell from Michigan State who sits on our Science Advisory Board was in attendance at the ASPB Plant Biology meeting, and a scientist from his team presented their work. Conferences also allow us to gather intelligence on what else is going on in plant science especially yield and other traits. This conference was well attended by a large number of scientists from the ag industry and this also provide an opportunity to make new contacts and discuss possible areas of collaboration. We expect to continue to present our scientific findings in the future and it’s the key part of our efforts to develop opportunities for collaborations and partnerships.
Lynne Brum: Great. Thanks, Kristi. Oli, I'll turn the call back to you for concluding remarks.
Oli Peoples: Thanks, Lynne. Thanks for joining us on the call tonight and thanks for the Yield10 team who worked so hard to position us to meet our key milestones in 2017. Thanks also to our shareholders. We will work hard to continue earning your support and we look forward to taking with you again on our next call. Good night.
Operator: This concludes today’s conference call. You may disconnect your lines at this time. Thank you for your participation.